Operator: Good morning. Thank you for standing by. Welcome to Payoneer's Second Quarter 2024 Earnings Conference Call. At this time, all lines have been placed on mute to prevent any background noise. Following the speakers' remarks, we will open the line for your questions. As a reminder, this conference call is being recorded. I would now like to turn the call over to Michelle Wang, Payoneer's Vice President of Investor Relations. Please go ahead.
Michelle Wang: Thank you, operator. With me on today's call are Payoneer's Chief Executive Officer, John Kaplan; and Payoneer's Chief Financial Officer, Bea Ordonez. Before we begin, I'd like to remind you that today's call may contain forward-looking statements which are subject to risks and uncertainties. For more information, please refer to our filings with the SEC which are available in the Investor Relations section of payoneer.com. Actual results may differ materially from any forward-looking statements we make today. These forward-looking statements speak only as of today and the company does not assume any obligation or intend to update them, except as required by law. In addition, today's call may include non-GAAP measures. These measures should be considered in addition to and not instead of GAAP financial measures. Reconciliation to the nearest GAAP measure can be found in today's earnings press release which is available on our website. Additionally, please note we have posted an earnings presentation supplement alongside our earnings press release on investor.payoneer.com. All comparisons made on today's call are on a year-over-year basis, unless noted otherwise. With that, I'd like to turn the call over to John to begin.
John Caplan: Good morning everyone and thank you for joining us today. In September 2023 at our first Investor Day, we outlined our strategy to build the business-grade financial stack for global cross-border SMB. We committed to long-term durable revenue growth, expense discipline and expanding profitability. I'm proud to say that our plan is working. We are pursuing a significant opportunity and our record financial results for the first half of 2024 validate that we have both the right team and the right strategy to achieve our ambitious goals. In Q2, our strong execution drove momentum across our key business metrics. IDP growth accelerated to 10%, driven by higher take rate regions such as APAC, EMEA and Latin America and double-digit growth in China. ARPU increased 27%, with a notable acceleration in ARPU growth excluding interest income. Over the past 4 quarters, year-over-year ARPU growth ex interest income climbed from 2% in Q3 2023 9% to 13% in Q1 of this year and now to 18% in Q2 of 2024. Volume growth accelerated for a sixth consecutive quarter to 22%. B2B volume growth accelerated for our fourth consecutive quarter to 40%. Total revenue grew 16%, excluding interest income and normalizing for $7.5 million of non-volume fees earned in Q2 of 2023, our Q2 of 2024 revenue was up 21%, consistent with Q1 results. We generated record adjusted EBITDA of $73 million, delivering a 30% margin, fueled by strong revenue and sustained expense discipline. Payoneer is the steadfast allied to cross-border SMBs because we are local in the market they operate in and deeply understand their challenges and their opportunities; [indiscernible] cross-border payments, particularly into and out of emerging and developing markets are complex, expensive and time consuming. Unlike Payoneer, emerging market local banking capability are not designed for modern global SMBs operating across multiple geographies. I'd like to share some insights from our recent SMB ambition survey on the businesses that our target customers own and operate. Approximately 50% of cross-border SMBs have customers in 6 or more countries and need to pay employees and vendors in 6 or more countries as well. 2/3 of these SMBs have at least 1 nonlocal entity and 1/3 have 2 or more. At 60% don't have cross-border financial management capabilities such as real-time currency conversion, the ability to accept payments on their website, payroll solutions for multiple countries or multicurrency cards to pay for goods and services. The Payoneer Financial effect is purpose-built to solve these challenges. We have the scale payment, regulatory and compliance infrastructure and a localized experience built upon a strong and trusted brand. This enables us to be the global business-grade financial partner for SMBs and help them succeed and is what is powering our momentum. We are not done. We are continuously innovating to serve larger SMBs with more products and to smaller customers at scale in a cost-effective way. Within our ICP today, we see twice the product adoption from ICPs who received more than $250,000 per month in AR volume compared to those whose AR is more than $10,000 a month. Some recent examples of our product enhancements include launching integrations with accounting ERPs, this enables customers to track their spend on paying their cards directly within their preferred accounting solution. Improving our multi-entity and multi-user role management capabilities, this makes it easier for global SMBs to manage their business in one place. Advancing our FX capabilities. For example, we recently launched features so customers can automate their withdrawals at a specific exchange rate that they set. This makes it easier for them to manage currency fluctuations. Rolling out our Lite account for freelance customers who get paid via marketplace. We anticipate most new customers from these marketplaces will be onboarded into our Lite account by the end of 2024. This will increase monetization, reduce costs and risk and better align our service model to our diverse customer segment. We are improving our activation speed. For our ICPs, we have reduced the time from account approval to transaction from 7 days a year ago to 2 days now. Our ecosystem is a strength. We are now integrated with QuickBooks, Xolo and Zero, some of the largest global accounting platforms for SMBs. Our integrations enable a seamless reconciliation process for our customers' multicurrency transaction. We see opportunities to deliver the one-stop solution for our customers. We are extending the capabilities of our financial stack; managing global AP is a primary challenge for cross-border SMB. Within AP, nothing is more important than workforce and payroll management. The process of paying people must be timely, accurate and comply with local regulations. When we surveyed our B2B customers, nearly 25% wanted cross-border payroll capabilities with many existing customers already configuring our platform to address this need. This morning, we announced the acquisition of Squad, a mission-driven company that helps SMBs automate their hiring, onboarding, taxes and payments for international employees and contractors. We intend to cross-sell Squad capabilities into our existing customer base. We believe it will increase ARPU and enable us to better serve SMBs as they manage their talent across borders. The Squad acquisition, our accelerating momentum and record adjusted EBITDA margin are the direct result of our well-planned steps to deliver the sustained revenue growth and profitability targets we have communicated. In doing so, we believe we will unlock significant long-term value for our shareholders. We're proud of our global team for their tireless efforts and dedication to our customers. They are the core driver of our accelerating momentum. We are at the beginning of capturing the opportunity ahead of us and this team is disciplined and long-term oriented. I'll now hand it over to Bea to discuss financial results and our increased guidance going forward.
Bea Ordonez: Thank you, John and thank you to everyone for joining us. We continued our strong momentum in Q2 and delivered record financial results. We grew volume by 22% which drove normalized revenue growth, excluding interest income of 21%. Our ongoing expense discipline delivered a record 30% adjusted EBITDA margin and we continue to return cash to shareholders, repurchasing $47 million worth of shares during the quarter. Record quarterly revenue of $240 million was up 16%. Growth was driven by a 10% increase in our ICPs, faster growth in higher take rate services and regions, the continued benefit of our pricing initiatives and higher interest income earned on customer funds held in Payoneer accounts. Volume growth of 22% reflected broad-based strength across the platform. Our B2B business delivered 40% volume growth in Q2, accelerating from 33% growth in Q1. Our strong momentum in B2B is the result of our strategic focus and disciplined execution over the past 18 months. The customer cohorts we added since the beginning of 2023 are delivering significant growth and we continue to see strong acquisition of B2B customers. Robust acquisition of large customers in China and continued strength from large e-commerce platforms drove a 15% increase in volume from SMBs that sell on marketplaces. We are also seeing strong volume growth from emerging marketplaces with our existing China and U.S.-based e-com sellers who are accessing demand on these newer platforms and consolidating the volume from these sales channels into their Payoneer accounts. While this makes up a small portion of our overall volume from SMBs that sell on marketplaces today, it's an area that is growing quickly and we are exploring deeper strategic partnerships with these marketplaces. We also generated nearly 200% volume growth in Merchant Services and 31% volume growth in enterprise payout. Our Q2 take rate of 128 basis points decreased 7 basis points due to non-volume fees earned last year and continued growth in our enterprise payouts business. Our SMB customer take rate continues to expand, increasing by 1 basis point, driven by significantly faster growth in our higher take rate B2B business and the benefit of ongoing pricing initiative. Customer funds held by Payoneer increased 9% to $6 billion. Our ability to steadily grow customer funds drove a 19% increase in our interest income to $66 million for Q2, while average interest rates were up by just 5% and contributed modestly. We continue to prudently extend the duration on our portfolio. And as of June 30, we have invested nearly $1 billion of customer funds into U.S. treasuries and term-based deposits. We are still ramping this program and intend to invest up to 30% of the portfolio in the coming months. We believe this will reduce our interest rate sensitivity and drive greater interest income consistency as rates begin to decline. Total operating expenses of $193 million were up 11%, driven primarily by higher transaction costs as well as higher depreciation and amortization, IT-related costs and increased marketing spend. Transaction cost of $37 million increased 30%, primarily due to strong volume growth, continued mix shift into our fast-growing B2B and merchant services businesses, sustained growth in our card product and an increase in chargebacks and operational losses. This was partially offset by improved commercial terms with banking providers, internal platform optimization and cost structure benefits from increased scale. Transaction costs represented 15.4% of revenue, a 160 basis point increase from the prior year period. Sales and marketing expense increased $2 million or 5%, driven by higher marketing spend related to card incentive programs. Our initiatives have driven 4 consecutive quarters of more than 30% year-over-year growth in card usage, including 33% growth in Q2 of 2024. We continue to drive greater efficiency within our sales organization and have kept labor-related costs flat year-over-year even as we have accelerated our ICP volume and revenue growth. G&A expense increased $4 million, primarily due to higher M&A-related expenses which we exclude from adjusted EBITDA. Other operating expense was up $1 million or 2%. Higher IT-related costs were partially offset by lower labor and consulting expense. R&D expense was roughly flat with higher labor costs, offset by higher capitalization. We have increased our average R&D headcount by 12% year-over-year and intend to continue strengthening our product and engineering teams to support our long-term strategy. Record adjusted EBITDA of $73 million was up $17 million or 30%. This represents a record 30% adjusted EBITDA margin in the current quarter. Net income was $32 million compared to $46 million in the second quarter of last year which benefited from $18 million of non-operating gains primarily related to the revaluation of our public warrants. Q2 basic and diluted earnings per share was $0.09. We continue to actively return capital to shareholders and repurchased $47 million worth of shares in the second quarter. We ended the quarter with cash and cash equivalents of $576 million and note that our acquisition of Squad will represent a use of cash for the third quarter. Moving to our 2024 guidance; we are raising our guidance for revenue by $25 million and guidance for adjusted EBITDA by $25 million to reflect our strong results and continued momentum heading into the third quarter. Our guidance includes the partial year impact of Squad which we closed on August 5 and which we do not expect to be material to our 2024 financial results. For the full year, we expect revenues to be between $920 million and $930 million. Our increased guidance is driven entirely by higher revenue, excluding interest income of $680 million to $690 million, while we continue to expect $240 million of interest income for the year. We now expect 2024 revenue growth, excluding interest income and normalizing for $15 million of non-volume fees earned in the first half of '23 to be approximately 17%. That is nearly double the growth rate of 2023 and in excess of the mid-teens target we set at our Investor Day. We are raising our expectations for revenue, excluding interest income by $25 million to reflect our strong performance in the second quarter and increased expectations for the third quarter. We now expect third quarter revenues excluding interest to be up low to mid-teens year-over-year versus our previous expectation of high single-digit growth. We have made no changes to our expectations for the fourth quarter relative to our expectations in February. We continue to expect the fourth quarter revenue ex interest income to grow mid-teens. We are holding our interest income revenue expectations at $240 million for the year. This reflects our expectations for balanced growth, latest market views on interest rates and the in-year impact of our program to extend the duration of our customer funds. We expect transaction costs as a percentage of revenue to be approximately 16.5% versus our prior expectation of 17.5%. We expect this percentage to ramp in the second half of 2024 as we continue to mix shift towards higher take rate but also higher transaction cost business lines and products like B2B, merchant services and card. We are increasing our adjusted EBITDA guidance by €25 million to be between $225 million to $235 million, representing an adjusted EBITDA margin of approximately 25% at the midpoint for the full year. Our guidance for cash OpEx, less anticipated transaction cost remains unchanged at approximately $540 million. Cash OpEx represents our guidance for revenue less adjusted EBITDA. Our second quarter results demonstrate that our strategy and focus on growing and retaining ICPs, increasing adoption of our financial stack, optimizing ARPU and delivering improving operating leverage is working. We remain dedicated to driving innovation and delivering value for customers, employees and shareholders over the long term. We are now happy to answer any questions you may have. Operator, please open up the line.
Operator: [Operator Instructions] Our first question today comes from the line of Darrin Peller with Wolfe Research.
Darrin Peller: Nice job on the quarter. Maybe just start off with your overview of what you're seeing in terms of traction around different types of pricing initiatives in the business. Obviously, you're coming in better than we had expected on revenues and your raising numbers. And I'd just be curious to hear how much of that is coming from our performance on the volume side versus what you're able to have control over on the yield, especially on whether it's in-network volume, monetizing inter network volume or it's just monetizing more users in a way that makes sense and is sticky. So if you can just give us more color on how that's been trending, would be great.
Bea Ordonez: Yes, sure. Thank you, Darrin, for the question. Look, I mean, everything we're seeing from a pricing perspective is very much in line with what we've talked about in prior calls, right? We started to define that segment-based approach. As John said in his prepared remarks, we launched our Lite account. That launch will continue throughout the year. That drives improved monetization for freelancers and gig workers. We're seeing nice uplift from our FX revenue pricing initiatives. And we're continuing what we've termed and is for us a multi-quarter journey to really augment and make more nuance our pricing strategy. So we're working on what we've called our pro offering into the services and goods verticals which we think will drive, again, improved market monetization there, could include usage and subscription fees, maybe perhaps a SaaS component upgrade fees and so on. So overall, we're performing exactly as we sort of highlighted, nothing to add to the $20 million number that we referenced last year in terms of expected uplift in our 2024 guide from those pricing initiatives and we continue to feel really optimistic and good about the strategy and how we can continue to drive uplift in the out years. Specific to inter network flows, as we said last time, we've continued to test. We think that, that's a meaningful opportunity, again, as part of that broader pricing strategy.
Darrin Peller: That's great to hear. So it sounds like it's still relatively early days but good traction so far. I guess, John, maybe just one quick follow-up would be just the strategy of the business in terms of how much you've been investing in different categories to cross-sell. I guess as a part of that question, so first of all, I guess, where has the progress been on the incremental products, not just pricing products, what are you excited about in terms of having just come to the market the last couple of quarters? I know we talked about a couple of last time. And then, if you really align the right staffing for those needs, just trying to figure out investments and expense on margin assuming that you have that already embedded in your outlook.
John Caplan: Yes. The team has done a great job through the first half of the year, focused on the full financial stack. And we shared in the supplement, an increasing number of our customers are using 2 and 3 AP products. So our cross-sell focus is working. And it's driven by our CSM team. We have a global team that focuses on serving our top ICP customers, both introducing them to new products and services that we have and cross-selling their capability. When you look at the growth in China, 19% growth in APAC, EMEA and Latin America, 28% growth; in North America, 23% normalizing for non-volume fees are focused on the high-value ICP cross-selling card, introducing our B2B product. And now we're very excited about what we can do with payroll. We've talked to our customers and what they say is the number one AP challenge they have cross-border is contractors and employees by adding Squad into our financial stack, not only will we grow ARPU from those customers, extend the reach of our contractor solution but we will increase the stickiness of the financial stack itself. So when we look at the accelerating product road map inside of the organization, our integrations into the ecosystem, as I referenced in my prepared remarks and our multi-entity features which make it easier for a SMB with entities in multiple geographies, with customers in multiple geographies and with expenses from multiple geographies, increasing the pay in your account is their go-to hub for all of their international financial activity. Let me pass it over to Bea, if there's anything you'd like to add as well.
Bea Ordonez: Yes. I guess just on the margin question, Darrin. Look, I think we've demonstrated the ability to unlock leverage and improve margins over the last several quarters. I think it's noteworthy that for the first half of this year, our expenses are flat even as we've mix shifted our adjusted OpEx, even as we've mix shifted into more complex business lines. At the same time, we see significant opportunities to unlock greater efficiency. That's really going to allow us to scale without meaningfully adding to labor costs which are sort of the biggest slug of cost in the company. The area where we are adding, as we called out, is in our R&D team. And that's really what's allowing us to unlock, to John's point, the velocity and features and rollout to help us continue to deliver that financial stack.
Operator: Our next question comes from Mark Palmer with The Benchmark Company.
Mark Palmer: Congrats on the strong performance this quarter. It would be great if you could comment on what you are seeing from a macro perspective across the various regions you serve. And in particular, we saw strength in China, Asia Pac, LatAm during the quarter. You just attributed that in part to various initiatives that the company has undertaken. But what are you seeing in the macro? And what are your expectations for the rest of the year in that regard? How is that reflected in the guidance?
John Caplan: So I'll start and then Bea, why don't you grab the -- when we -- I just referenced the growth we've had in China, APAC, EMEA and Latin America, really strong B2B performance across the board, strong card growth, the impact of our pricing initiatives, 30% growth in India, Argentina and Japan, 40% plus growth in Pakistan, the Philippines, Brazil and South Korea. The organization is really executing very well at driving the growth. I think the macro environment was stable in Q2 versus Q1 and broadly supportive of the strategy we've put in place. When we look out into the future, I'll pass it to Bea to talk a little bit about how we view the guidance for the second half of the year and the trends in both marketplace and B2B.
Bea Ordonez: Look, specific to how we embed the macro view in our back half of the year assumptions. And consistent with what we said after Q1, we're continuing to model in some macro softness in the back half of the year. We would expect to see that impact primarily in our marketplace business. So our guide implies a softening of growth there in those marketplace volumes to high single digits which compares to the mid-teens growth that we saw in the front half of the year. In our B2B business, our guide implies at the midpoint, roughly 25% year-over-year growth in our B2B business in the back half of the year, that continues to deliver outperformance versus our original full year target. So we're expecting 30% year-over-year growth versus 25% when we issued that guidance in February. So overall, that would imply a decel in that normalized revenue growth, again, from the record we saw in H1 of 21% and to roughly mid-teens in the back half of the year and again, very much in line with those medium-term targets. So overall, look, the fundamentals are really strong, especially in our B2B bids. We model in some softness because we think that's prudent. There's certainly room to outperform if the macro remains as robust as it's been thus far. And I would call out that July was a really strong month.
Mark Palmer: John, you had previously talked about payroll as an area that you would potentially focus on with regard to bolt-on M&A. Now with the addition of Squad, what else remains on your wish list in terms of building out the product suite?
John Caplan: Yes, we -- first of all, we are very excited about Squad and the payroll management and EOR capabilities and the team, culturally mission-driven aligned completely with the approach to serving SMBs who are doing business cross-border. We've announced 3 acquisitions since I took over a CEO spot, [indiscernible], an acquisition in China which is yet to close and will and Squad, when we look at our M&A philosophy, we're focused on product acquisitions and extensions where we can leverage our existing customer base and our reach and to cross-sell financial stack solutions and drive ARPU growth. That's sort of the primary objective. Secondarily, deepen our regional footprint in the high-growth markets where we have a priority. You'll note that Squad is headquartered in Singapore with teams in Singapore and in India, as well as extending our license and licensing framework. There are lots of opportunities in the market and we are a prudent and disciplined buyer and deep into the diligence of the opportunities and we will continue to add to our capabilities through tuck-in M&A.
Operator: The next question comes from Trevor Williams with Jefferies.
Trevor Williams: Great. Yes, I wanted to ask on pricing. I don't know if you guys could give us an update on -- I think last quarter, you talked about being in a pilot program for some of the intra network flows. If you could just give us an update on how that pilot program progressed? And then any update on timing, if you think this could be a potential second half impact or if this is more maybe a 2025 broader rollout? Thanks.
Bea Ordonez: Yes, look, the rollout is in line with what we talked about at the end of Q1 and in line with sort of our plans in general and that segment-based pricing strategy and offering strategy that we've outlined. Look, we continue to work on defining those customer personas, aligning our product bundling and pricing to those personas and really thinking it in a very sort of holistic and broadway around how we drive more engagement, capture more share of wallet, improve monetization and really crucially as well reduce our complexity and cost to serve by aligning the product bundling to the needs of that customer. So this is a multi-quarter journey as we've called out. We're very much in line with where we want it to be. We still continue to expect roughly $20 million or more in uplift in 2024 in terms of revenue uplift from those initiatives and we see a lot more opportunity to come there as we continue to launch and think through that strategy. Specific to the pilot, it's going well. We launched it. We're being really rigorous in understanding sort of the customer reaction and results. It's not a meaningful driver and it's not meaningful to our guidance in '24. We think it can be somewhat more meaningful in '25, again as part of a broader pricing strategy.
Trevor Williams: Okay, that's great. And then, just a follow-up on -- which is what's implied for the second half. I think for Q3, you're saying now up low to mid-teens before that had been high single digits. If we compare that to where you were this quarter on kind of the core ex-interest income up in the low 20 percentage, there's still a pretty good deceleration that's embedded in Q3. Maybe if you could just kind of parse out the moving pieces within that. How much of that is just embedded conservatism around the macro? And if you could give us a sense for how July trended relative to that 21% growth in Q2? Thanks.
Bea Ordonez: Yes, happy to do that. Look, you've got it right in terms of how we're seeing Q3. So we raised $25 million in total, as we called out, that captures the outperformance in Q2 and we've increased our expectations for Q3 versus prior year guidance. Two, as you noted, low to mid-teens growth from high single digits. We haven't changed Q4. So all of that sort of gets us to a 17% growth year-over-year at the midpoint, to your question, that does imply some softening in growth as we go into Q3 and Q4 from that record 21% ex-interest income growth that we saw in the front half of the year. And we've been very consistent, right? We're modeling in some macro softness into those expectations. How does that break out as between the sort of various components of our business? Again, it's mostly in that marketplace business where we would expect to see that, is indeed the macro softened, right? So, where we initially guided to high single-digit growth in volumes from marketplaces. In Q1 and Q2, we actually saw high teens. We are continuing to expect high single digits in the back half of the year, perhaps moderating growth in B2B simply because we're not going to run rate out the really robust outperformance in the front half of the year. So that is the implied deceleration. Again, as I said, there's room to outperformance, the macro remains stable. We're still very, very confident in the fundamentals of the business, especially B2B, given the strong ICP acquisition but we're modeling in some softness, as I say. July, to your question, was a strong month and looks a lot like the front half of the year so far. So we're, again, feeling good but you're seeing the same indicators in the macro that we are and we think it's prudent to model in some softness into our expectations.
Operator: The next question comes from Will Nance with Goldman Sachs.
Will Nance: Nice results this morning. I wanted to ask on the really strong performance on the marketplace volume side. Just, I think for most of the time I've been following you, like the volumes have tracked pretty closely with kind of broader e-commerce trends across kind of like a lot of the marketplaces which are -- most of them are publicly traded. And this quarter, it seems to really kind of gap out. And I just wonder if you could kind of comment on where you're seeing that outperformance. There were some comments about new customer acquisition in China. I hope to hear more about that and the opportunity in marketplaces in the emerging markets.
John Caplan: You bet, Will. Thanks for the question. We're proud of the results the team that focuses on the marketplace relationships have done. And as you and I have talked in the past, that team is global, right? So we have folks on the ground in the U.S. and folks on the ground in China and around the world. So it's a strategy that involves both acquiring ICPs on the ground that are exporters, SMBs that sell on marketplaces to work that happens inside of China and other regions around the world and we saw really strong performance. And obviously, the e-com results benefit from the consumer spend and the strong performance by the Payoneer team. We are, I think, at the beginning of our opportunity to extend our relationship with the innovative new marketplaces that are entering the consumer landscape, the TikToks and [indiscernible] and others. And we continue to work to develop those relationships to extend our franchise in the marketplace arena which I think, over the next several quarters will continue to be as strong as it can be. We are at the beginning of that journey which is interesting to think about. We're excited about it and pursuing it aggressively.
Will Nance: Great. Sounds exciting. And then maybe just a follow-up for Bea. Just how are you thinking about incremental margins over the next year, largely, I guess, stripping out the interest income, part of the equation. Obviously, rate expectations have been a bit volatile recently. But if we think about just incremental margins in the core business, excluding sort of the macro impacts on the float, how would you position that? And how would you maybe characterize some of the levers you have to manage the incremental margins over the next year or so, maybe including some of the potential headwinds of [indiscernible]?
Bea Ordonez: Sure. Thanks for the question, Will. Look, as we called out, we feel really good about the ability to continue to drive core revenue growth and we've been able to constrain our adjusted OpEx or cash OpEx spending accordingly, certainly in the front half of the year. And where we're seeing a tick up in spend in the back half of the year, it's from proactive and intentional investment in the platform, in our data capabilities and extending our financial stack. From a pure margin perspective, look, we proactively called out a step-up in transaction costs in the back half of the year. We've actually outperformed our expectations there. We lowered our guidance for transaction cost as a percentage of revenue from $17.5 million to $16.5 million. So while we expect a step up, we're seeing strong performance really from driving scale in our business, from optimizing our platform and capabilities, from a routing perspective and from pricing initiatives, particularly in our MRS business more globally. So again, we see the opportunity to continue to drive sustainable growth in revenues less transaction costs. And as I noted, I think that there is continued opportunity to drive additional leverage from an adjusted EBITDA margin perspective and we're demonstrating our ability to do that already with our results thus far this year.
Operator: The next question comes from Chris Kennedy with William Blair.
Chris Kennedy: I know you talked about it but can you give a little bit more details on extending the duration of customer deposits and how we should think about sensitivity to interest rates going forward?
Bea Ordonez: Yes. Thanks for the question, Chris. Yes, as we've called out, we've been extending the duration. We started that program this year. We anticipate extending somewhere in the region of 30%, perhaps a little more. We're obviously balancing versus liquidity but perhaps 30% or more of that portfolio over the course of the next several months. As at the end of July, we had already extended roughly $1.2 billion. We've called out -- and we've done that through treasury build. So again, highly liquid instruments and through term deposits. The weighted average duration of that portfolio right now is give or take 2 years. The weighted average yield is just under 5%. So look, to your point, the ability to do that, obviously prudently, will reduce our interest rate sensitivity as we begin to sort of come down the other side of this tightening cycle, so to speak and deliver greater earnings consistency. We're also looking at derivative that can provide to interest rate flows and similar instruments that can provide additional benefits, always, of course, prioritizing safety, not looking to time the market perfectly and just continuing to hedge to reduce that overall sensitivity as much as we can. So we feel good about it. We think we're handling it sort of the right way and properly balancing that and that we can continue to drive really sustainable float income in the coming years.
Chris Kennedy: Great. And then as a follow-up, you've made a lot of investment in your tech stack in the platform. Can you just talk about kind of where you are in that journey?
John Caplan: Yes, I'll start and Bea, maybe you'll add some color. What we have done in the tech organization has materially increased the velocity of our product releases. We've added and upgraded the talent in that organization and we focused on the high-value ICPs and the tools and services that they need in order to better operate their businesses. The results that the platform organization have delivered have been terrific and we're proud of what they're doing and are focused on accelerating their impact as we serve more and more global ICPs or need to support of the organization.
Bea Ordonez: Yes. The only thing I'd add to that, John, is we continue on a road map that's very consistent with what we've outlined. So roughly a third of our platform investment goes to growth-driving initiatives. So the kind of things that we talk about on this call, right, improving the UX, improving online engagement, elements of our B2B product road map, our pricing and offering strategy and capabilities and so on. Roughly 1/3 is going to enable other platform capabilities. So data is super important, as you would imagine, really driving improved customer insights, AI-based tools to allow us to utilize that data, really a focus on the data that's going to allow us to improve retention in our portfolio; so areas that improve sort of the customer experience from payment friction to self-serve capabilities. And then, the final element is what I'll call platform modernization which is a needed part of the investment in any sort of company that's operating a diverse and complex financial stack the way we are. So that's really kind of the road map we've laid out and how we think about the various investment pillars, if you like.
Operator: We have no further questions. I now turn the call back to John Kaplan for closing remarks.
John Caplan: Thank you, everybody. Thank you for your questions and your participation this morning. Thank you to the global Payoneer organization for your incredible hard work and dedication to our customers. We're all excited about the initiatives underway and our momentum and traction and we appreciate the continued support of our shareholders. We look forward to our next discussion at the end of next quarter. Speak to you soon. Thank you.
Operator: Thank you everyone for joining us today. This concludes our call and you may now disconnect your lines.